José Federico Castillo Martinez: Thank you for joining us for today's Exceptional Live [ph] webcast of our 2022 Full Year Results. Your host will be Harold van den Broek, our CFO. Following the presentation, we will be happy to take your questions.  The presentation includes forward-looking statements and expectations based on management's current views and involve known and unknown risks and uncertainties, and it is possible that actual results may differ materially. For more information, please refer to the disclaimer on the first page of this presentation. I will now turn the call over to Harold.
Harold van den Broek: Yeah, thank you, Federico. And good morning, afternoon, evening, everyone. And whilst it is lovely to virtually connect to you all so soon after our yearend results, you are no doubt wondering why we have decided to hold as Federico calls it an exceptional and out of cycle call. So maybe good to explain that before we get used to this.  You all know that we work to build the business for the long term, and do not want to manage quarter-by-quarter. That will lead to short termism that we don't believe in. Yet, I wanted to take you through some of the key performance highs and lows on the quarter, because we've seen increasing volatility and some of the markets, driving positive and negative deviations from our expectations and some of the conversations that we had.  Second, we are on track to close the Distell transaction next week. So I also wanted to take you through the expected impact of the consolidation. So if you allow me I'd like to start with a brief summary of the quarter. At the start of the year, we reflected in our outlook on the context of our business environment. We said we anticipated the challenging global economic environment and inflationary pressures on consumer disposable income. Against this backdrop, we start the year with strong revenue growth, driven by pricing and disciplined revenue management, while we materially increase investment behind our brands. Business performance in Europe and America is encouraging, albeit early to call as the full extent of inflation needs to work its way into consumer spending behavior.  Results in Asia, Pacific, Africa and Middle East and Eastern Europe regions were disappointing, hindered by temporary volatility in Vietnam and Nigeria that I will come back to later. Brand Heineken continue to perform strongly, with volume up 5.7% excluding Russia. Heineken Silver grew 47% and was launched in the U.S. gaining distribution at pace. We continue to make consistent progress on EverGreen investing towards building greater brands, our digital route to consumer, our strategic capabilities and behind our Brew a Better World ambitions. So let us now look at the highlights of the numbers. Group revenue was EUR6.4 billion, an increase of 8.9% organically with price mix on a constant geographic basis increasing by 12.1% driven by pricing to offset inflation across all regions complemented by revenue and mix management initiatives. More than offsetting beer fall in decline of 3% organically.  Some highlights of key markets starting with Africa, Middle East and Eastern Europe. Net Revenue beia grew 3.6% organically, with total consolidated volume declining 8.6% and price mix on a constant geographic basis of 14.4%. Beer volume decreased organically by 8.3%, with a significant decline in Nigeria and South Africa, only partially offset by strong performance in Ethiopia. The situation in Nigeria is quite extraordinary. This is our largest market in the region, and total volume decline in the mid-20s was in line with the market. The economy suffers from a temporary lack of availability of local currency caused by an immediate withdrawal of all banknote denominations impacting consumers' ability to purchase goods. Now we expect the situation to progressively improve as the validity of the old banknotes have been restored until the end of 2023, alongside issuing redesigned banknotes. Despite these challenges, the premium portfolio in Nigeria grew by a mid-single digit, with Desperadoes more than doubling volume versus the same period last year. As we move on to the Americas, we continue to see good performance in our strongest markets. Net revenue beia grew 14.8% organically with total consolidated volume of 3.1%. Price mix on a constant geographic basis was also up 13.6% led by pricing in Brazil and Mexico and continued premiumization of the portfolio. Beer volume increased organically by 3.4% in the quarter, and our premium portfolio grew by a high-single digit led by Heineken in Brazil and the U.S., Amstel accelerating in Brazil, and Amstel [indiscernible] in Mexico. Now on to Asia Pacific, where as we said, we had a soft start to the year and net revenue beia declined 5% -- 5.4% organically. Total consolidated volume declined by 10.5%, impacted by the declines in Vietnam and Cambodia. Price mix on a constant geographic basis increased 4.7% whilst the premium volume portfolio declined in the low-20s driven by Vietnam, other markets contributed to an underlying mid-teens growth. So let me address the situation in Vietnam. Net revenue beia declined in the low-20s driven by lower volume due to the earlier debt season and temporary economic pressures impacting the market.  Now what happens is that given the steep post-COVID recovery last year, we have been building stock ahead of the dead [ph] season, expecting this momentum to continue. The momentum was halted early 2023 due to an economic slowdown, attributed in part to real estate and export sectors. Market share however, remain strong and encouragingly Heineken Silver and Tiger Crystal grew in the high teens and by more than 30% respectively. So finally some words on Europe. Net revenue beia grew 13.5% organically with total consolidated volume down 1.3% performing ahead of our current expectations, as consumers remain resilient so far, despite continued pressure from inflation across consumer goods. Price mix on a constant geographic basis was up 13.76% driven by pricing earlier than the industry, more than offsetting beer volume decline of 2.3% organically.  Our premium portfolio was broadly flat with continued momentum or our next generation brands such as Birra Moretti, Beavertown, Messina, El Águila, Desperados [ph], and Gallia. Let us now move on to discuss the Heineken brand performance in more detail. Overall premium beer volume declined driven by the situation in Vietnam and the stopping of sales of Heineken in Russia. Still underlying momentum in premiumization, continued elsewhere led by Heineken , which grew 2.3% in volume, significantly outperforming our portfolio and excluding Russia, as I indicated before Heineken grew 5.7% organically. The growth continued to be very broad-based with more than 25% markets growing double digit, and in particular, Brazil and China delivered strongly.  Heineken 0.0 grew by 6.9%, organically excluding Russia, with strong momentum in Brazil, U.S., UK, Spain and the Netherlands. Notably Heineken Silver continued its strong growth up 47%, including double digit growth in Vietnam and China, and its continued global expansion. We're very pleased to have launched Heineken Silver in the USA, and are encouraged by the speed and scale of nationwide distribution builds and the placements that we've achieved. As we commented before, we're gearing up for a big launch activation, which started in April, and therefore it's a bit too early to comment on that and more to come in our first half update. I would like now to move to welcoming Distell to our portfolio. After many months of effort and great collaboration, on March the 9, the South Africa Competition Tribunal approved Heineken's offered to acquire control of the Distell Group Holdings Limited, paving the way for the creation of a new Southern African beverage champion. The transaction with Distell and Namibian Breweries Limited is expected to be completed next week on 26 of April. We're very much looking forward to combining these three incredible, proud and independently successful companies and are welcoming over 5,000 Distell and NBL colleagues into Heineken.  Let us move on to the next slide as a reminder of the compelling strategic rationale that sits behind this exciting combination. First and foremost, we see growth potential. Our ambition is to shape the future of Beer and beyond by expanding our advantage footprint, scaling premiumization, pioneering low and no propositions [ph] and exploring beyond beer. And with Distell we can build on several of these areas.  First, the transaction will significantly strengthen our number two position in South Africa with a unique multi-category portfolio of beer, ciders, wines and spirits and two highly complementary go to consumer organizations. Secondly, it will allow us to consolidate our position in Namibia and benefit from greater access to local expertise while creating an opportunity to leverage a premium category building capabilities in this exciting market. Third, the transaction brings Heineken -- it brings into Heineken, a diverse portfolio and innovation capabilities.  We will explore opportunities to grow Savannah Cider, Windhoek Beer, but also the grape-based Bernini Sparkling Spritzer outside their home markets. The new operating company will be serving 10 export markets, where the combination will enable increased efficiency and potential growth, especially in attractive markets like Kenya and Tanzania. We are impressed by the innovation capabilities of Distell and look forward to nurturing them and expanding them.  And behind that, of course, there are also obvious synergies to be achieved from the creation of a new operating company, amounting to around 1.5 billion rand or EUR75 million to the EBITDA of the combined group. So moving on to share the main points for consideration on the consolidation. And this is important to get right. We expect to consolidate Distell and NBL as of the 1 of May 2023. And on March 27, the threshold scheme conditions of the transaction have been fulfilled, which is a formal way of saying that we can now confirm that shareholding in NewCo is 65%.  And as a result, the consolidation of the newly acquired assets will imply the following. On gross revenue, we will add EUR1.6 billion or close to 5%. But if we take into account the accounting treatment of excise duties that we apply at Heineken, this will convert to EUR1.1 billion of incremental net revenue or close to 4%. Approximately EUR160 million of operating profit will be added and a low single digit net profit and diluted EPS contribution will come into play. Now please note that these figures are backward looking and illustrative only. They are intended to give a directional impact of the consolidation using the information provided in the prospectus. They are not intended as guidance, because as said, we will expect consolidation to happen on the 1 of May 2023. With that, let me move on to the last slide. I would like to reiterate that our full year expectations remain unchanged. We continue to experience the effects of a global volatile economy and remain cautious about the impact that this has on consumer demand. Now at the same time, we are focused on strengthening our business in line with our EverGreen strategy, including investment behind our brands and innovations and delivering upon our gross savings ambitions.  Following the start of the year, we see signals of a more resilient Europe, and we also see risks of a slower economic growth in Asia Pacific. And therefore performance across markets may be different than what we previously anticipated. All-in-all, our full year outlook remains unchanged. And we expect operating profit beia to grow organically mid to high-single digit. We also expect that the growth in the operating profit beia will come mainly, if not fully in the second half of the year. A last point, we have submitted an application for approval regarding the transfer of ownership of our Russian business. I am limited in what I can say because that process is completed and is now with the Russian -- the authorities of the Russian Federation. And with that in mind, I would like to open for Q&A on everything but Russia. Thank you very much.
Operator: Thank you. [Operator Instructions] Thank you. Our first question for today comes from Mitch Collett from Deutsche Bank. Your line is now open. Please go ahead.
Mitch Collett: Hi, Harold. I've got one question, please. In the release, you say that you have materially increased investment behind your brands. Can you perhaps comment on the quantum focus and the timing of that investment, please? 
Harold van den Broek: Yeah. So thanks, Mitch. And it's fully understood why you're asking that question. The reason I'm a little bit hesitant to give levels of quantification, is that this is quite an unusual situation. We usually don't comment on the full flow of the P&L to net profit. And this trading update is really meant as a trading update. On the other hand, what point is the Q&A session if I don't give you a little bit more context?  So, in a way, I'm going to do that. So the reason that it is material is that this was on the basis of our volume performance significantly higher than that. You should think about in line with revenue growth, not in line with volume growth. But let me not be more precise than that.
Mitch Collett: Thank you. And can you comment on the timing of that investment and perhaps where you've focused it, presumably Heineken Silver has… 
Harold van den Broek: Yeah, I think it's -- as you would expect, it's completely -- it's not yet Heineken Silver that much I have to say. So that's important to note. Most of that is still to come. It really is about the growth restoration that we saw on the back half of this year behind premium, behind our growth markets. It was also expected to take place in the first half of the year, and we want to make sure that we build consistency over time, so both in Europe, as well as the Americas, the likely candidates like Mexico, Brazil but also Vietnam, because clearly we assessed the situation, wrongly there, were the key markets where also incremental brand support was taking place.
Mitch Collett: Got it. Thanks very much. 
Harold van den Broek: Thanks, Mitch.
Operator: Thank you. Our next question comes from Edward Mundy of Jefferies. Edward, your line is now open. Please go ahead.
Edward Mundy : Good afternoon Federico. I've got one question, one follow-up. So the question is, despite a pretty challenging start, you're reiterating your guidance for the year. Can you talk about what's behind this confidence in so far as it relates to EverGreen and one of the levers the business is going to be leaning on to hit that guidance of mid to high single digit organic EBIT?  And then secondly, on Vietnam, quite a tough start to the year from a sell-in perspective, given the reasons that you highlighted, but from a seller basis, your brand portfolio performed broadly in line with the market. Can you share how you think the market performed in the first quarter to get a better understanding of the underlying trends? And has the inventory unwind completed, as of the end of the quarter?
Harold van den Broek: Yeah. Thanks Ed. Very relevant and good questions. Let me start at the beginning, why we are reiterating the guidance. We are actually quite confident in the EverGreen strategy that we've put together. And what we have learned in the past couple of yours also is to be focused on the controllables and be agile, depending on conditions. We've learned that through COVID, the reopening, the fast recovery in APAC that we saw in the second half of the year, the acceleration of momentum in Brazil, the adaptation in Mexico with the OXXO mixing.  I think as a business, we're starting to learn not to work on fixed plans, but to be agile enough to redeploy and refocus, depending on the market realities that we see. One of those market realities is indeed a slightly softer start in certain markets like Nigeria and Vietnam as the obvious call outs. And therefore we're really adjusting the portfolio. But we're also adjusting the model on where we see opportunities of success. And I hope to share more of that in the half year update rather than go into that now.  But what is important is that we found a way in our organization to start testing what is working and shifting resources accordingly, while still being extremely focused on what we can control. Now what we also indicated, and I've been quite specific about this in the full year results, but also at the conference last week, is that year one in 2022, we were very dogmatic about pricing for inflation in euro -- for euro. Already this year, we started to say we hope to recover most of the inflation, we take market conditions into account, because we knew that we were not operating on a steady state that is the same across markets.  We have to make sure that we stayed relevant locally. And therefore, what you may want to see is that there is a little bit more brand investment behind premium brands or brands that are on fire. We may even adjust some of the pricing mechanics if the consumer is not following us, or come with special effects, for example. So there is a little bit more of a degree of freedom that we give to the operating companies in order to make sure that we keep this balance volume value equation that we've been talking about, and not be single minded following orders.  We do like the local entrepreneurialism. Now having said all of that, it also means that with this challenging start, we really need to double down on our gross savings program in order to continue funding the journey of EverGreen. And that's exactly what we do. And we said before that we have good visibility.  We therefore have also good visibility of where we accelerate and where we reinvest. And that's why we're reiterating the guidance for this year. It will also by the way, Ed, it may not have escaped the notice that some of this may lead to some timing phasing. And therefore, we said previously, balance between half one, half two operating profit delivery, it is now more likely, that's not a coincidence that sentence has crept in. So it's likely to be more second half focused than indicated before.  Then on to your next question, Vietnam. I think it's an excellent question. The quarter one, according to Nielsen, because this is an objective source that we also use, the beer market grew in Vietnam, according to Nielsen by about 6%. But that 6% needs to be put in the context of last year, where COVID was still a factor and Vietnam was impacted and only then starting to open up. So it's 6% in the context of a weak comparator.  Now we indeed performed broadly in line with the market on a sell out basis. But according to Nielsen, this is also important. We clearly misread the signals in terms of the steep bounce back in quarter four, anticipating that to be a record high that and consumer demand to stay strong. And I've been quite explicit that therefore we overstocked in a way, at the end of last year. What I also get from Nielsen is that the whole industry apparently, but I don't want to speak on behalf of others, but apparently, the whole industry read these consumer signals the way that we did. And therefore there is a bit of an industry overhang in terms of stock into the channels that we have to work through. But concluding with how you asked the question, we are indeed -- the market is growing 6% year-on-year because of COVID comparator and we performed broadly in line on a sell out basis. But hopefully that gives you the wider context.
Edward Mundy : Great, thank you.
Harold van den Broek: Thanks Ed.
Operator: Thank you. Our next question comes from Richard Withagen from Kepler. Richard, your line is now open. Please go ahead.
Richard Withagen : Yes, good afternoon, Harold. Good afternoon Federico. Two questions from me as well, please. First of all on Distell and the deal, maybe Harold you can give some explanation, yeah. On the on the planned steps of integrating the businesses in South Africa. What will Heineken focus on first and by when should the integration be completed? And then the second question on pricing in the various markets in 2023, what are your thoughts on additional pricing rounds later in the year given you know the cost pressure, you know, or at least have an indication of price elasticities in the first few months of the year. So what are your thoughts on additional rounds of pricing?
Harold van den Broek: Yeah. Thanks, Richard. So I then need to be a little bit careful on the Distell-NBL integration priorities because believe me, we have a lot of excitement to go there and to ask the team all kinds of questions. But the first second and third priority is, Richard is to be careful on learning that business first, and be absolutely focused on winning the season by getting the right people in the right place with the right governance structure. That is our first priority.  We don't really want to come in -- it is also a -- yeah, it's a great get-together of really successful companies. So I really don't want us as Heineken to come in, and basically saying, look, let me show the Heineken way. There is much to learn in Distell and NBL has been a successful company for a very long period of time.  So the way that we're thinking about integration priorities, first and foremost, we need to work on the people construct and appoint the right people on this organization. Secondly, we need to be very, very clear about what winning the season means, and how we're going to deploy our joint execution resources in order to really win because nothing feeds the reunited culture as basically becoming part of a winning team. And we also know, because of how long this process has taken, that some of our competitors in the market had ample time to prepare. So we really need to be good on the ground, and very clear on our priorities.  What we also are discussing already is obviously, I said that before, as well, it's first and foremost growth. So the commerce part of the organization is going to have a pretty deep look at portfolio strategy, but also looking at innovation capabilities from Distell for the Heineken markets that are interested in them. But what we also want to be clear about is that this in way, is also very attractive from a synergy point of view. And we will be discussing very shortly with management, the progress on the synergy path as well.  But that will all happen in the next couple of months. The first priority is to welcome the 5,000 people and be cheering on winning in the marketplace with the right people appointed to the right roles. That's priority number one. So hopefully, Richard, that was question number one, at least sufficiently answered. But it also gives you a sense that we want to be precious about this deal, and not urgent for synergies only.  The second one is pricing for markets, 2023 later in the year. This is exceptionally difficult to navigate, Richard, because it really is a market-by-market reality that we're currently facing. And as I just said to Ed, we really want to make sure that we get the balance between price mix and volume growth right on the market by market basis, because our expectation in the year already is that our volume growth will be relatively minimum, given the fact that we have so much pricing and inflationary pressure on the entire consumer base.  So we really don't want to go into a too blunt assumption that pricing can carry on forever. And therefore it really is market by market. Having said that, as a general statement, we are very happy with the pricing that we've been able to land in the first quarter. And that is not yet fully reflected. Because this takes time to roll in as well in our organization. And that means that we feel comfortable about the level of pricing that we've gotten, and we'll take a step-by-step approach to further pricing later in the year, depending on the realities on how volume and consumers are responding to this. And the realities that we see in a competitive environment and with the evolution of commodity cost, although most of that has been hedged already, as you know.
Richard Withagen : Very clear. Thanks Harold.
Harold van den Broek: Thank you, Richard.
Operator: Thank you. Our next question comes from Nikolai from Goldman Sachs. Your line is now open. Please go ahead.
Olivier Nicolai: Hi, thanks for taking question. Just two, very quick one. Just on the U.S. first of all, Heineken is back to growth in volume terms. Could you give us an indication of what's Cool Heineken brand is doing and also do you have any feedback from distributors on the Silver launch? And then the second question is just on Europe, it was much stronger than expected. It seems to be driven a lot by the on-trade travel. Do you see any sign of weakness in the on-trade in March or April are you too confident about the consumer resilience in Europe this year? Thank you.
Harold van den Broek: Thank you. Well, as you've indicated, and rightly said, we continue to be very proud of the Heineken brand. And although we'd like growth to be higher, I think it's a testimony of its momentum, that we're still growing mid-single digits and double digit growth in 25 markets and the key markets that you would expect, the Vietnam, the China, the Brazil's are continuing to play a very important part in that.  The Heineken Silver launch in the U.S. is really at its early stages. But to your question, what we said yesterday is that the feeling is good. We are getting distribution at pace. The distributors are behind the launch, and are actually quite excited about what this proposition could bring. The TV commercial has got all kinds of green ratings in all our testing, as well as the consumer taste profiles is clearly preferred above everything else that is in that market. So from an input KPI, everything takes on green, including distribution, distributor engagement, follow up on commercials, the budgets that have been made available. There's a lot of energy that goes behind this.  But as we know, selling it in is something else than selling it out. And the consumer needs to embrace this product as well. So that's why we say we're tracking this, like there's no tomorrow, but it will be appropriate to wait until the half one results to get a bit more of a -- let's call it qualitative update from me. Otherwise I would have been in marketing and not in finance. On the question Europe, and the balance between on-trade and off-trade, now we know that quarter one is a quarter one in Europe, it's winter season, not a lot is happening there. And what we do see is actually we're pretty pleased with the balance on both. It's still the case that on-trade is lower as compared to 2019. But has been delivering a pretty good performance in the quarter. But it depends, of course, on what your comparable period is. And we talked previously about on-trade, not yet recovering to 2019.  Compared to last year, we're also relatively happy with where on-trade is at this moment in time. But hey, let's get a brilliant quarter two, with a lot of sunshine out of the way. Then I think we need more meaningful to talk about this. 
Olivier Nicolai: Thank you very much. 
Harold van den Broek: Thank you.
Operator: Thank you. Our next question comes from Simon Hales of Citi. Simon, your line is now open. Please go ahead.
Simon Hales : Thank you. Hi, Harold. A couple of for me as well, please. Can I just come back to Vietnam, I just want to be clear on the situation there? A couple of things, the 6% depletion trend from Nielsen that you talk to, was that a volume or a value depletion trend you were flagging there? And I may have missed it in your response to Ed's question. But no are you saying that the destocking of the Q4 inventory load is completed at the end of the quarter? Or do you expect it to continue into Q2? So that's the first question.  And then secondly, I wonder if you could just talk a little bit more about Nigeria. Clearly you expect things sort of improve as we go forward. But I'm just trying to get a handle on perhaps what the exit run rate was for consumer depletions, at the end of March? How we should think about modeling the return to perhaps previous volume trends on a go-forward basis.
Harold van den Broek: So thanks, Simon. I think these are again, good questions and the reason for the call. And so let me first do the easy one first. The number that I was talking about depletion in Nielsen was indeed 6% in terms of volume. So that's the answer to that question. Now then the second part is the destocking at the end of quarter one. I wish my life was as simple as that, that I could really read into the full fragmented trade of Vietnam, what is going on? You remember last time that we talked about industry data, beer production, and how much of a double count that was in that.  So that just gives you a signal that we're trying really hard and we've got pretty decent data on our own organization, but it is not a full see through in the market in its own right. It's difficult to read the stock in trade with perfection. So I do believe that we're working through that overstock but as I tried to indicate as well -- and again, according to Nielsen, so I don't want to talk on behalf of competition, but there is a bit of a bubble of stock, that everybody had to eat through. And therefore it's a bit difficult to see when that will be depleted. And whether that was complete at the end of quarter one. Let me just stop there, because I also don't want to give signals on quarter two that I'm not supposed to. Yeah. But I think what is also important based on the conversations that we have with Vietnam, we still have a lot of confidence in our operations in Vietnam, in the potential in Vietnam. But there is also a little bit of a global reality currently in Vietnam, where global trade is softening and Vietnam is suffering from that a little bit. Now according to government, they should rebound in half two. And we'll be ready for that. Yeah, then on Nigeria, what we're focusing on in Nigeria, and because we are the market leader, it's difficult to say whether this is a temporary occasion with currency or not currency that just has been Presidential elections. And therefore also here, we're very focused on control the controllables, the metrics that we want to be successful at is how do we retain market share, because this market is super strategic for the long term, whether we build the right portfolio, and what you see also in our announcement is that this path to premiumization is still happening. And we are actually converting a lot of consumers to the part of the premium portfolio Desperado being a good example, But not the only one. And that we will really try to bring the right P&L structure in order to sustain investment and become part of a profitable business as a whole, at the time where Nigeria was no longer profitable for the industry, we really don't want to return to.  So we also want to be responsible in portfolio and pricing management, so that they stays a healthy industry at large. That's what we're focusing on Nigeria. Now as we all know, Africa is a market that has its sprints to success, and then pauses with declines in order to sprint to success again, and we're used to that over a long period of time. So we believe in Nigeria for the future.
Simon Hales : That's really helpful. And I would just TO bring it all together, obviously, obviously, the softer volume start to the year, and what you're saying about the uncertainty and be able to read through on Vietnam, what's happening in Nigeria, the pricing going in, I mean, overall, in terms of your full year guidance am I right in just confirming that at this stage, you're not walking away from the previous guidance you gave on volumes, which was that they could still be flat to slightly up for this year. 
Harold van den Broek: That's correct Simon.
Simon Hales : Got it. Very clear. Thank you.
Harold van den Broek: Thank you. Our next question comes from Sanjeet Aujla from Credit Suisse. Sanjeet your line is now open. Please go ahead.
Sanjeet Aujla: Hey, Harold, thanks for the call. Just a couple of quick follow ups from me, please. Firstly, you spoke about incremental pricing in Q1 to hit the shelves in Q2? Is that Q1 incremental pricing just in Europe? Or which of the markets have you implemented price increases through the quarter? And can you just comment a little bit on how you see the competitive landscape vis-à-vis pricing? Are you seeing competitors follow suit with your assertive approach this year? Thank you.
Harold van den Broek: Yeah, Sanjay, thanks very much. And I'm glad you asked the question about quarter one into quarter two because what I meant to refer to is that we don't have a global pricing moment. And in some cases, this is happening on the first of January with immediate effect. In some of the markets like in Europe, this usually take some negotiation and some implementation time market by market.  So what I was actually referring to is that we've taken the pricing, the agreements have been in place, but market by market to full implementation date may differ and sometimes go into quarter two, which is why the compounding effect of what you've seen in quarter one, sometimes may be a little bit understated because in January it was not in place, but it was in place in February or in March or in April. So that was what I was meant to have said. That also brings me to the reason why I said what I said in my in my script. In some cases, in some markets, the full effects of the total basket of consumer goods inflation is not yet felt. So we remain a little bit cautious about is the consumer indeed as resilient as possible, because not only we will have the impact of not fully landing the pricing on shelf yet, other categories in the FMCG space may have the same thing as well. And also there, I think we've been consistently talking about this. But that's what I meant about the incremental pricing quarter one to quarter two.  The second point is also relevant is about the competitive landscape. By and large, we are happy with the pricing that we have been taken. And by and large, we believe that we are competitive in the pricing that we have been able to land. So I was quite specific that in the case of Europe, we as market leader went early. And now see competition or retailing pricing moving. Obviously, that's a retailer discretion. But we do believe that in many of the markets that we've priced, we have not been out priced. We remain however vigilant, because in many cases, we've been needing pricing. And we just need to make sure that we're not out pricing ourselves at the expense of volume. If so we will adjust. So at the moment, we're pretty pleased with where we've landed, including in the competitive landscape.
Sanjeet Aujla: That's really helpful. And just a quick follow-up on South Africa, have the brewery issues there all been resolved and business back to normal.
Harold van den Broek: The brewery issues have been resolved. We confirm that today. And our supply chain is back to normal.
Sanjeet Aujla: Thank you.
Operator: Thank you. Our next question comes from Trevor Sterling of Bernstein. Trevor, your line is now open. Please go ahead.
Trevor Stirling : Hello, Harold. And apologies if these questions were asked before. I got slightly delayed onto the call. First of all, Brazil seemed to be very, very strong in the quarter, particularly on the Heineken and the Amstel brand. So I guess any color you can give on the continued success in Brazil would be great.  And then the final one -- the second one is concerning commodities. I appreciate we're still way, way long to go yet. And we haven't even had the harvest yet in Europe. But it does look like commodity prices continue to move in the right direction. Is that the right read for what you see as well?
Harold van den Broek: Yeah, so in terms of Brazil, indeed we continue to be, to be almost very excited about what we see in Brazil. I think the momentum of both Heineken was very strong. What we're really pleased with and we touched about this in the full year result is that now also Amstel is starting to become meaningful and actually is growing extremely nicely. So we're very pleased with what we see in Amstel. But also there, I just want to make sure that we're not getting ahead of ourselves. Because look, the competitive environment is also very strong. And we have been taking pricing quite significantly. So at this moment in time, Brazil is absolutely continuing on the same momentum with the same brands, Amstel becoming a relevant growing part of the business. So very pleased. And that's where I think we are at this moment in time.  I just want to be cautioning us a little bit of thinking that Brazil will grow forever at this pace, because it is now becoming a really quite big scale business. And we're very pleased also with a little much lower, as long as it's sustainable. That's not meant to do any disrespect to Brazil, by the way. So I just want to share that this is a big business now.  Secondly, on commodities, we see the same issue. So it's indeed too early to start thinking about 2024 guidance. We haven't even started the discussion with the operating companies yet. But we do see that indeed, commodities continue to trend down and as you know our hedging policies, we are hedging 12 to 18 months out. So that season is starting now.
Trevor Stirling : Super, thank you very much, Harold
Harold van den Broek:  Okay, thanks.
Operator: Thanks. 
Harold van den Broek: I think yeah, exactly. Look, this was indeed an exceptional and please don't get used to quarterly updates too quickly please. The meaning of this call was to make sure that we are giving you the opportunity to ask questions, because clearly some of the markets, some of the bigger markets, were not performing in the way that we were meant to perform over a longer period of time.  I hope that through this Q&A, we could put some light into that confirming still the full year outlook. The second reason was very important to us to welcome Distell to Heineken now. Next week it will be completed. And we just wanted to make sure that the key metrics were fully understood and how we consolidate the 65% of the ownership. So that was the purpose of this call. Thank you for your great engagement, really relevant questions, and hope to see you soon again at the half year. Have a great day.